Operator: Good morning, everyone. Thank you for standing by. Welcome to Volaris' First Quarter 2023 Financial Results Conference Call. All lines are in listen-only mode. Following the company's presentation, we will open the call for your questions-and-answers. Please note that we are recording this event. This event is also being broadcast live via a webcast and may be accessed through the Volaris website. Those following the presentation via the webcast may post your questions on the platform. The management team will answer them during this call or the Volaris Investor Relations team will answer them after the conference call is finished. To send your questions via the webcast platform, click on the question mark below the video area and type your inquiry in the upper left corner. At this point I would like to turn the call over to Ricardo Martinez, Investor Relations Director. Please go ahead, Ricardo.
Ricardo Martinez: Good morning and thank you for joining the call. With us today is our President and CEO, Enrique Beltranena; our Airline Executive Vice President, Holger Blankenstein; and our Chief Financial Officer, Jaime Pous. They will be discussing the company's first quarter 2023 results. Afterward, we will move on to your questions. Please note that this call is for investors and analysts only. Before we begin, please remember that this call may include forward-looking statements within the meaning of applicable securities laws. Forward-looking statements are subject to several factors that could cause the company's results to differ materially from expectations. As described in the company's filings with the United States SEC, and Mexico's CNBV. These statements speak only as of the date they are made and Volaris undertakes no obligation to update or modify any forward-looking statements. As in our earnings press release, our numbers are in U.S. dollars compared to the first quarter of 2022, unless otherwise noted. And with that, I will turn the call over to Enrique.
Enrique Beltranena: Thank you, Ricardo and everyone, for joining us today. During the first quarter of 2023, we diligently delivered results in line with our full year guidance for capacity, load factors, fare levels and ancillaries. Equally important, we experience sustained demand across our systems. Our guidance for the year is still valid and maintained. We expect market demand to accommodate well within our full year capacity guidance of around 10% ASM growth. We'll continue to focus on delivery in EBITDAR margin expansion this year in a 29% to 31% range, an increase of 9 to 11 percentage points versus 2022. I want to start by highlighting the results from the quarter. Total ASM increased 18% year-on-year, including a growth of 15% in domestic and 24% in international markets, highlighted by greater than 100% expansion in Central and South America. Higher ASM growth was also driven by better utilization of our A321 fleet with revenue passenger miles per departure increasing by 20%. It is essential to note that versus the first quarter of 2019, our ASM grew around 66%, a testament to how Volaris took advantage of a once in a lifetime opportunity to grow during the pandemic. The Mexican airline industry has undergone landmark consolidation in the last three years, much like the U.S. industry did in the previous decade. With a recent disappearance of Aeromar, our domestic market now has three leading carriers that offer competitive cost service and handle around 99% of the passengers in the domestic market. This landscape sets the stage for a future where we expect increasing profitability for the Mexican market. As expected, our capacity grew faster in the first quarter than our 10% on our guidance as our deliveries for the year are frontloaded into the first half. In the second half, we expect a reach of all our capacity from domestic to international and grow in Central America, provided regional tailwinds continuum. To be clear, the 18% quarterly capacity growth was a pull forward in our planned expansion for the year. Given well-known Airbus delays and lower than expected time on wing of Pratt GTF engines, we decided to leverage the flexibility in our fleet plan to accommodate the earlier deliveries, extend three aircraft, and their deliveries and acquire engines. Due to these actions, we do not expect disruptions during the second quarter, and we do not believe today that any of our capacity deployment plans for the second half are in jeopardy. This year will mark a new era for Volaris as we are set to receive the first NEO delivery from the largest ever Airbus order placed by us along with Indigo's portfolio airlines. The scale of this order allows us to reduce our CASM ex-fuel in the future structurally, thanks to more favorable fleet ownership costs. In short, our plan will drive further efficiencies, low cost going lower. Volaris has carefully developed a finance plan to support our CapEx needs for 2023, and we do not expect our capital expenditures to impact our de-leveraging objective for this year. Overall, our company and our markets continue to show strength. Demand during in the first quarter was held in all segments and regions. TRASM increased 10% year-over-year to a new first quarter record of US$7.71 surpassing the former record spot by vaccination travel last year. At the same time, CASM ex-fuel was $4.65, reflecting our continuous strict cost control management. Volaris remains one of the top unit cost operators in the world and cost control continues to provide us with competitive advantages. In sum, this is more than just a critical cost control story. Volaris cost advantage versus U.S. carriers has widened, allowing us to grow with profitability in the cross-border market once Category 1 is restored. Finally, during the first quarter we observed positive indicators such as low unemployment rates, robust remittance flows and high levels of foreign direct investment associated with the nearshoring trend. Moreover, federal subsidies on diesel prices are being phased out giving us a level playing field versus buses. To illustrate last year's sharp increases in oil prices prompted the Mexican government to subsidize the cost of diesel, the primary fuel used by buses. However, with a recent 50% reduction of the diesel subsidy, we have regained the advantage. We believe nearshoring is an economic reality here to stay, representing a robust and differentiated tailwind to our medium to long term growth. At Volaris, we have established ourselves as the leading airline in several near shoring epicenters. We are in the right country industry and segmentation to capitalize on the potentially decade long nearshoring trend. I'm pleased to inform you that the Mexican Congress approved amendments to aviation law last week. This week the Senate is expected to vote on amendments to the law and we are optimistic about a positive outcome. We anticipate that the new law will be published in the official Gazette within the next two weeks, allowing the authorities to request the final IASA assessment, which is projected to occur by the end of May or early June. Assuming a favorable assessment, we expect the U.S. government to fully implement Mexico's Category 1 upgrade in a few months. I want to point out that the amendments do not allow cabotage to foreign cars. As we have stated, our guidance assumes the Category 1 will be commercially operative in the fourth quarter and we stand ready to be nimble should it happen soon. I will turn it over to Holger, who will provide greater detail on our first quarter commercial and operational dynamics.
Holger Blankenstein: Thank you, Enrique. And good morning. The first quarter of 2023 was another strong quarter operationally enabled, by the flexibility in our network as we saw some continued differentiation in demand in our geographic markets. Starting with capacity, as Enrique mentioned, ASMs increased by 18% year-on-year for the entire network, including growth of 15% in domestic and 24% in international markets, highlighted by a greater than a 100% expansion in central and South America. That said, our fleet and network plans are flexible if market demand persists or Category 1 is restored before expected. As we also staked out in our last quarter's call, given some softness and close in volumes domestically, we have been moderating base fares in the Mexican market, while capitalizing on robust demand in our international segments where we have been raising our base fares. The combination of these approaches generated a solid 85% load factor for the quarter, up 1.5 percentage point from a healthy 83.5% result in the first quarter of 2022. Underscoring this result is that more significant expansion and high affairs in our international market haven't been dilutive. TRASM grew year-over-year to a record of $7.07, up 9.5% on a 20% increase in RPM. We also remain nimble with our network. We have not only optimized the productivity of our fleet, but we are also reducing growth rates in the second half of 2023 like we are seeing from our domestic competitors. For the same reason, we expect to accelerate our plan to redeploy aircraft to Central America to fly to the U.S. For the U.S.-Mexican transborder market we will reassign at least four airplanes to U.S. bound routes once Category 1 is reinstated, reopening our pathways to the U.S. while taking pressure off the domestic Mexican market. These routes will take two to three months to ramp up before becoming fully operational, which aligns with our projections of restoring our CAT 1 related capacity by the fourth quarter. Additionally, we plan to redeploy up to three additional aircraft this year in the Central American market, reaching nine up from six aircraft, representing 8% of our total capacity.  In the first quarter we launched operation in our three previously announced Central America to U.S. routes in San Pedro Sula to Miami, San Salvador to Houston and San Salvador to Oakland. Additionally, we opened for sale, San Salvador to Ontario and California. Domestically in Mexico, we introduced two new routes during the quarter, one from Guadalajara to Puerto Vallarta, which has opened for sale but is not yet operational and one from [indiscernible] to Los Cabos, which will be opened later in the year. The routes we launched last year from Toluca and Felipe Angeles continue to ramp up as expected, and we are maintaining around 30 aircraft flying from Mexico City International Airport. Critically, we enjoyed strong adoption of ancillaries in the first quarter, particularly in our international market where these offerings functioned exactly as intended, a key offset to enable lower base fares within our network. Ancillary revenues per passenger came in at $42 a record, as a proportion of our total operating revenues. Ancillaries climbed to 47%, up from 43% in the first quarter of last year, and 42% in the fourth quarter of last year. Representing continued progress toward reaching 50% of our total operating revenues. During the first quarter, we implemented significant changes to improve our customers purchasing experience. We reduced the number of bundle options available in our website from six to three, simplifying the selection process. Additionally, we introduced a zero ticket, which is a completely unbundled product exclusive for the club members. This strategy increased dramatically our V.Club memberships and was also a key driver for our first quarter absolute revenue result. It'll also generate repetitive purchases in the future. These add-ons help us realize additional ancillary revenues per passenger and allow Volaris to moderate base fares to compete more effectively. This premise is crucial as we analyze the weakness in close in bookings within our domestic market. While most of our customer base tends to book flights in advance to take advantage of our low fares close-in passengers typically pay higher fares for these flights. Our strategy to drive growth in ancillary revenues allows us to adjust our base fares for last minute bookings to achieve our target load factor. As ancillary revenues for close-in bookings are less price sensitive than base fares. These ancillary revenues offset base fare reductions and delivered higher revenue per passenger. Overall, we continue to successfully convert first passengers to first time Volaris flyers by stimulating demand through promotions and low base fares, and then retaining them as loyal customers. As an example, during our 17th anniversary promotion, we sold 1.6 million tickets. Another initiative to generate new travelers is the launch of our loyalty program. Through FEMSA OXXO, the largest retailer in Latin America, we will have access to more than 20 million users already signed up in the program. The program is expected to be the largest affinity platform in Latin America. Our first quarter operational performance demonstrates our continuous efforts to optimize operations and maintain our industry-leading performance. We achieved 883,000 ASMs per aircraft daily, an average of 13.5 daily block hours and generated 107.2 ASMs per gallon of jet fuel consumed, a 3.3% improvement from last year's first quarter. As we look toward the summer, booking curves remain solid in the international markets, where we continue to meet robust demand in Central America and the United States. We are confident in our current growth plans and have positioned ourselves to execute them with agility and flexibility. Our strong track record of quickly adapting to changing circumstances and seizing opportunities such as the potential return to CAT1 gives us the confidence to adjust our plans to achieve our guidance. We anticipate several upsides for Volaris, once category one status is restored. First, we may obtain regulatory approval on additional routes from Mexico to the U.S., further capitalizing on our widening cost advantage versus peers. We will also be able to add to our U.S. op specs about 30 neo aircraft, which we have taken delivery off since the downgrade. With category one effective, we can use these aircraft on U.S. international flights, maximizing their greater efficiencies within the fleet on longer routes. We have also staked out a plan to realign our capacity within our markets, which we will announce following the category upgrade. Finally, Volaris code share with Frontier will be immediately reactivated upon the upgrade, expanding our international market and U.S. point-of-sale presence. One of the remaining open items is the passage of a reformed aviation law. Now that the proposal of the adjusted aviation law has been approved in the lower house, we're looking forward to the Senate's approval, which will enable us to continue to further strengthen our position as a leading international airline. I will now turn the call over to Jaime to discuss our financial performance for the quarter.
Jaime Pous: Thanks, Holger. Our first quarter financial results aligned with our expectation and full year guidance underscoring the stability of our financial performance over time. Total operating revenues for the first quarter came in at $731 million, at 29% increase compared to 2022 driven by solid international demand and ancillary revenue per passenger increasing from $35 to $42, which resulted in a 9.5% higher unit revenue. We remain focused on improving our financial performance and managing costs. The training CASM ex-fuel alliance where we discussed last December at our Investor Day. We anticipate that cyclical maintenance events will continue to increase for the remainder of 2023 and 2024 before gradually returning to 2019 levels. This increase is attributable to our ongoing transition to newer aircraft and maintenance cycle due to our current limitation. Our CASM ex-fuel accounted for $4.65, an increase of 5.7%. This increase was mainly due to the appreciation of the Mexican peso affecting the translation into U.S. dollars of peso denominated cost items such as labor and G&A. [Ph] During the quarter, we will deliver cost accruals of $35 million. On a unitary basis, this represented $0.37. Our adjusted CASM ex-fuel, which excludes fuel where delivers our sale and leaseback gains totaled $4.28 compared to $4.03 in the first quarter of 2022 and increase of 6%. Total CASM was $8.03 for the first quarter and 8% increase compared to the first quarter of 2022. Reflecting the seasonality in our markets, our EBIT margin of minus 4% was consistent with our historical results. EBITDAR for the quarter total $123 million at 27% increase for an EBITDAR margin of 16.8% in line with the same period of 2022 despite higher field costs. For the first quarter, the net loss was $71 million equivalent to a loss per ADS of $0.62. The cash flow of operating activities in the first quarter was to $108 million. The cash flow used in investing was $109 million, and the cash flow used in financing activities was $110 million. Volaris finished the quarter with a cash balance of $704 million, representing 23% of the last 12 months operating revenue. At the end of the first quarter, our net debt to EBITDAR ratio was 3.8 times compared to 3.9 times in the fourth quarter of 2022. We expect to see follow a downward trend and be less than or equal to 2.5 times by the end of the year. It is important to note that most of our financial debt over 90% consists of leasing liabilities with fixed rates. We have taken steps to secure our financial position by entering into contracts for sale and leaseback agreement for aircraft deliveries until 2025. Volaris does not face any immediate refinancing pressure and is well-positioned to meet its financial obligations considering disagreements an over $500 million in financing for pre-delivery payments. When comparing Volaris to the most efficient carriers in the world, we recognize an opportunity to take our cost efficiency to the next level by optimizing our fleet ownership components. To achieve this, weaving and transitioning to NEOs in 2016 and have made significant progress with the role of 100% NEO fleet over the next five years. This transition will allow us to increase our seats per departure while delivering lower fuel wear and reducing emissions. Our growing number of NEO aircraft remains integral mitigating cost, allowing us to keep expenses and fees lower than our peers. We expect NEOs to make up 60% of our fleet by year-end and they accounted for 56% as of the first quarter end. In the first quarter of 2023, we consume 3.2% fewer gallons per ASMs than last year. Our fleet fuel efficiency is among the industry’s best, reflecting our ongoing commitment to sustainability and operational excellence, and we expect this metric to continue improving as we move forward. As of March 31, our fleet comprised 120 aircraft up from 104 aircraft a year prior and 117 aircraft in December 2022. Seats per departure rose to 194 in the first quarter, a 3.4 increase year-over-year, Volaris’ fleet had an average age of 5.4 years. As a result, we are maintaining our full year 2023 guidance, which comprises the following. ASM growth around 10% versus 2022 anticipating potential challenges such as aircraft manufacturer and engine availability. Total revenue to be in the range of $3.2 billion to $3.4 billion. CASM ex-fuel is to be in the field of $4.6 to $4.8. EBITDAR margin between 29% and 31%, CapEx of around $300 million net of finance predelivery payments. And finally, the net debt to EBITDAR ratio below or equal to 2.5 times. This outlook assumes an average foreign exchange rate between MXN19.25 to MXN19.75 per dollar and average economic fuel price between $3 to $3.10 per gallon. When reporting our second quarter, we will revisit our FX and fuel estimated data. Now I will turn the call over to Enrique for closing remarks.
Enrique Beltranena: Thank you very much, Jaime. Before we move on to Q&A, I want to cover ESG advancements that we have recently made. A task force on climate related financial disclosure report discloses information on the process followed to identify and manage climate related risks and opportunities and on climate related targets and metrics. Volaris have a thorough process was the first Latin American airline to publish this report. We now have a more precise way to help us mitigate climate related risks. Meanwhile, during the annual shareholder meeting in the first quarter, a split of our Board Audit and Corporate Practices Committee was approved into separate committees and installed independent directors to lead them. We believe this reinforces our commitment to robust governance. Finally, our annual integrated report will be published in June, highlighting the synergies between our financial and ESG strategies. As of March 31, we are 67% on the way to doubling revenue against 2019, and we expect to make important progress against our free cash flow and EBITDAR goals by the end of the year in track with our triple goal presented investors meeting. As always, we remain disciplined on costs, prudent with capital deployment and focused on rewarding our customers and investors. Thank you very much for listening. Operator, please open the line for questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] And today’s first question comes from Stephen Trent with Citi. Please go ahead.
Stephen Trent: Good morning, gentlemen, and thanks very much for taking my questions. I just have one or two few for now. First, I was wondering if you could refresh my memory when you look at the domestic market, what sort of route overlap do you have with Viva Airbus and Aeromexico.
Holger Blankenstein: Hello, Stephen. This is Holger. So in domestic market, we overlap with Viva on most of the trunk routes. And then overall, we do have a lot of niche markets where we don’t compete with Viva. So overall on an ASM basis, our overlap would be in the domestic market only about 60% to 70%.
Stephen Trent: Okay. That’s very helpful, Holger. I appreciate that. And also when we’re looking at the recent move you guys have made to Felipe Angeles Airport. Is there anything that you’ve learned about the operation from that airport in terms of its runways or passenger access or what have you that you think you can put the work to maybe guide you in optimizing Felipe Angeles operations over the next year or two? Thank you.
Holger Blankenstein: So Steve, we have seeing – let me split this in two parts, okay. From the operational perspective, the airport is operating perfectly both runways approaching terminals, the TSA certifies the airport valve for international operations. And so in general, that’s going well. Our load factors are in good levels and we are working in raising yields in these routes for closing monitoring performance of the routes itself. They’re still in ramp up. That’s the way we see it, but they are very, very well in track versus the original entities. So that’s our advantage. From the airport operation itself and the access and everything else, the government inaugurated in the first quarter, another access, which was really important. And so today we have the three frontal routes that where needed to arrive to the airport inaugurated, and the government is working on 27 more accesses, from those 27, almost 50% have been finished. That’s on one side. Increase on public transportation has happened. Okay? Both buses and taxis and still not there yet. I mean for example, Uber and that kind of stuff the three taxis are still not operating in full potential. And then finally the train and the line of the train, which has been worked and the government, again, has offered to be finished by the end of September of this year.
Stephen Trent: Okay. And Enrique and Holger, a very helpful, I will leave it at that for now. Thank you.
Operator: And our next question today comes from Helane Becker with TD Cowen. Please go ahead.
Helane Becker: Thanks very much, operator. Hi everybody, and thanks for the time this morning. Just a question, Holger, do you know how many of your current passengers also subscribe to your V.Pass program?
Holger Blankenstein: Yeah, so there’s a before and after. So before we did the change in our product types, we had about high single digits of sales coming through the V.Club in terms of fairs sold on our website. And now post the change we are now offering a completely unbundled zero fair, which includes the V.Club membership. So, if you want to access our lowest fares, you have to have a V.Club membership, and that’s clearly led to more V.Club membership sold and the driving ancillary revenues as well.
Helane Becker: Okay, that’s very helpful, thank you. And then my follow up question is – late, sorry is related to how you’re thinking about the guidance for the full year, given kind of the deficit for the first quarter? Can you maybe walk us through the cadence for the second quarter and then maybe into the third?
Enrique Beltranena: Let me start something which is really important, Helane, and I think that this is great to mention it. It’s – you cannot meet the strong fundamentals from the first quarter. Okay? The first quarter has 90,000 grids, and Chileans [ph] went up from 44% to 47% as a percentage of total revenues. We operated with higher, low factors and there’s an improving fuel environment and CASM is in line with our investors meeting guidelines. And then also on the revenue side, the strong peso helps, and it helps twice. I mean, it – we have a better revenue when the strong peso is here and it – the benefit of the revenue line is twice the size of the cost, which is a downside. Okay. Having said that, okay, I think it’s very important to say we are entering into the best quarters of the year. I mean, remember the first quarter for us, it’s always a loss. And the reason it’s because it is our lowest – quarter. Okay? The second thing, and now we are entering into the best quarters of the year. Assuming we – you need to assume that we have a return of that one by the fourth quarter, which will allow us to grow in markets in which we have an increasing CASM doc versus our U.S. peers, which allows us to compete much better there. Then we had to deliver of demand in all of our markets with legal impact and economic slowdown so far, we continue driving CASM off. Okay. And I just want to infer to that. I mean, it was not only a nice CASM grid, it was a record CASM Okay. And I think that’s very important Helane, and I think that will continue to help in the next few quarters. We continue boosting from lower debt and favor of FX. And I think something, which is really important is Central America in general is performing pretty well.
Helane Becker: Thank you very much. That’s very helpful.
Operator: Thank you. And our next question today comes from Duane Pfennigwerth with Evercore ISI Please go ahead.
Duane Pfennigwerth: Hey, thanks for the questions, and I don’t know if it’s just my line, but it’s a little bit hard to hear Enrique, I just wanted to share that with you. First question with regard to CAT1, the CAT1 upgrade potential, I don’t want to read too far into it, but it seems like the language in your slide deck is a little bit more pointed and a little bit more confident on the timing. Can you just talk a little bit inside baseball on the process, what are you seeing that increases your confidence with respect to CAT1?
Enrique Beltranena: So Duane, I will try to respond whatever I said to Helane before, since you've been here well. And then I will answer the CAT1. I said the fundamentals as for the first quarter were really important and – were really good. We had a nice as far as increase, we consider is high low factor, the fuel environment is improving going forward. The CASM is in line with our investors meeting guidelines, and we have a very strong peso [ph] which is benefiting especially the revenue line. And then I said that we are entering the best quarters of the year, and assuming that the return of CAT1 by the end of the first quarter, right by the beginning of the fourth quarter, which will allow us to grow in markets which we have, where we have an increasing CASM cap [ph] versus our U.S. peers. And then we continue seeing robust demand and we are driving a better CASM ancillaries. So that's basically what I answered. I hope now you hear me better.
Duane Pfennigwerth: I heard it more clearly. Thank you.
Enrique Beltranena: Speaking about category one, so last week, the law was approved. And let me explain you why it is so important. I think when you have an IASA audit in my experience is there are two or three things that are fundamental for an IASA audit. And the first one is that you need to be in line with regulations and worldwide inter-regulations. I mean, you need to be processing the ICAO regulations on a regular basis. You need to be updated in your aviation law in every terms. And the aviation law has to facilitate whatever is needed in order to accomplish the CAT1, okay? So that's why this is so important. From the 39 points that were raised by the FAA, there are five points that are related to the law, okay? So today despite the government claims that they have basically overcome 35 or 34 of the points that the FAA raised, these five points are fundamental for going forward. The second thing, which is very important, is about having the right budget to process and sustain the category and execute their plan of surveillance. And that's also – that's something that has been approved. And the third thing is to achieve compliance on everything else, which is basically a questionnaire, which is about a 100,000 items that are included there. Going out from that, so the government has now finished the 34 topics, and we are missing the five. Once we accomplish the five, the government is allowed to request the audit and the full IASA audit, which I'm expecting probably to be ready by no later than end of May, beginning of June, okay. The law was approved in the Lower House last week, and this week it is expected to be approved in the Senate. Based on what we are hearing, it could be this cost tomorrow, and we could have a pool-out from the Senate by probably end of the day tomorrow. The next step is to publish the law in the National Gazette, okay. And once that's approved, the – it's basically an effect. A lot of these points that are included in the five observations are already being executed. It's just not supported by the law. And so I don't think the government is going to have a problem with all five points until the audit is executed. When the audit comes, it basically checks in four months in terms of financial availability, then they check the law, accomplishment, and then they check the rest of the box [ph]. We think that the 39 points were so inclusive. And so they did cover so many things because it has more than a 100 points that are sub-items that are included, that it is – there's a big probability that the government might pass the IASA audit in a very good level. If they pass it, there's a two months process in terms of government bureaucratic processes in the U.S. So we will not hear from the U.S. raising the category probably in those two months until at the end of probably July, beginning of August. And then we are basically back in category. But starts then is we need to basically upload our routes, our new routes or the requests of the new routes and frequencies and itineraries and the aircrafts that we have not been able to put up in the op-specs [ph] and that's going to take us about a month. And obviously, we need a couple of months to sell those routes. So we think we'll be able to start operating some of this capacity at the end of the fourth quarter.
Duane Pfennigwerth: Okay. I'll keep it at one given the extensive answer, so thank you.
Operator: Thank you. And our next question comes from Mike Linenberg with Deutsche Bank. Please go ahead.
Mike Linenberg: Yes. Hey good morning everyone. Holger, I want to go back to your characterization of bookings. You indicated that they were solid, and I think you specifically called out international, you mentioned U.S. transporter in Central America. How about domestic? And what I'm getting to is in your March release, you did talk about close in demand in Mexico, maybe coming in below expectations. I'm not sure if those – that was the exact words that were used in the release. What happened in March, and are you seeing a continuation of that close in demand weakness in April, May, if you could just elaborate? Thank you.
Holger Blankenstein: Yes. So Michael exactly right, the international market to be healthy. We've been able to raise the yield despite a 24% growth in ASMs in those markets. And that's true for Central America and the U.S. markets that we operate, and South America as well. In the domestic market we've seen quite healthy booking curves in terms of volume. The volume is coming through, but at the extent of some lower last minute yield in our trunk market, so in the market – the 10 largest markets where they have more competition in the market. And we've been able to offset the lower base fares in the last minute bookings through higher ancillaries and that has kind of compensated for – that, and you've seen that the trust increase in the first quarter given that that activity push. So the challenge we are seeing right now is in the yields on the last minute booking. But we are still seeing strong domestic volumes in the market as a whole. And we've seen that in our traffic release as well in the first quarter.
Mike Linenberg: Okay. Okay. That's helpful. And then just on the legislation that's before the Senate as it relates to what needs to be approved to kind of move Cat 1 along [ph]. That legislation I believe also allows, I guess for government ownership of airlines as well as government ownership of airports. And I'm just – I'm curious, I mean, I'm not even sure how much you can even say on this Enrique, but vertically integrated competitors can be powerful, and in this case, this is one that's supported by the government. Is this a real risk? I mean, should we be concerned? That's kind of what we hear from investors, and so again I'm not sure what you can even say on it since the legislation is pending. But it does seem like it gives the government a powerful say an influence over the industry from a competitive perspective.
Enrique Beltranena: So, Mike, look I think, right now it's the total speculation. I mean, the law is still not approved. I mean, it might be approved in a couple of days, but I mean, we don't know if the government is going to create an airline, which kind of an airline is it? I mean, is it going to be a low cost? Is it going to be a wide-body aircraft? Is it going to operate where? I mean, there's basically no information.
Mike Linenberg: Okay.
Enrique Beltranena: So, and we have heard from Airbus and from Boeing that they were requested aircraft and they didn't know what they wanted. That's in a nutshell, but we know to today. So other than that it's speculating, and I would not like to speculate anything. But having said that, Michael, I mean, I just want to remind you, I mean, Volaris is one of the lowest cost operators in the world and one of the most effective operators in the world. And we have always been open to competition as long as there are equal competitive competitions offered to all market participants. And one of the things that was included in the law is that they – they have to be ruled and managed in the same way the concessions are, are being managed except for one thing, which is we do have an end of our concessions, they don't have an end on what they are doing. So that's pretty much what I know. What I can answer right now.
Mike Linenberg: Enrique, if you just let me add, I mean, I would just make the point, not just you but if I include you, Viva and Aeromexico, it would seem like it would be very difficult for a government to use the people's money to make any money. In fact it would seem like it would be a very high probability that it would be a loss making proposition because you’re up against some of the three, strongest competitors in the Americas. So anyway, that’s just my thoughts on it. 
Enrique Beltranena: But I would probably agree with you. And then this is a market, which is very well served and very well with very good airlines, but I mean, that’s their idea and I don’t want to speculate on that and I don’t think anyone should speculate until we really know what is going on. And colonize [ph], I mean, launching another is not something that happens from today to tomorrow. So, I think we need to focus on our numbers for the rest of the year, and I just want to reassure that we are confirming our forecasts and we continue being solid in what we proposed for the year, and I think that’s where the market should be my focusing right now.
Mike Linenberg: Fair enough. Thanks. Thanks for your answer, Enrique and Holger.
Operator: Thank you. And our next question today comes from Rogerio Araujo with Bank of America. Please go ahead.
Rogerio Araujo: Hi gentleman. Thanks for the opportunity. I have a couple here. The first one on the guidance, first thing how was the 1Q 2023, EBITDAR margin versus company’s expectation, when Volaris released the guidance in February, and also it seems that U.S. go for jet fuel is below the implied range, Mexican peso as well. So does the company expected to pass through these lower cost to consumers or margins could surprise on the upside? That’s the first one. The second, just a confirmation the cabotage was removed from the view that was approved in the lower house is, is that correct? That’s it. Thank you.
Enrique Beltranena: Hi, Rogerio. I’m sorry. You want to answer the first?
Holger Blankenstein: Yes, I answer to first. I think the numbers of the 1Q, Rogerio are quite online, what we budgeted and last year and low so prices, a little help from the FX only on the TRASM and the effect on the CASM, but quite aligned what we forecasted and budgeted for the year. And jet fuel prices are a little higher than we expected for the quarter and compared to the 1Q of 2022, but the numbers are aligned with budget.
Enrique Beltranena: I think from the fuel perspective Rogerio, you need to consider that we are leading kind of exactly different years than what we had a year before. Last year we had a February, March with kind of normal level of fuel levels and then March racing and going forward, the question was a raise of fuel. The difference this year is we have high January and February numbers and March low number, which is far lower, and then the forecast for the rest of the year remains lower. I think that’s important to consider. The second thing which is important is peer value was a record leveled in the first quarter, and I think that’s something you really need to consider. Then cabotage was taken out of the, of the law. So cabotage remains only for local operators.
Rogerio Araujo: Fair enough, very clear. Thank you. Thank you very much.
Operator: Thank you. And ladies and gentlemen, this concludes today’s question-and-answer session. I would like to invite Mr. Beltranena to proceed with his closing remarks. Please go ahead, sir.
Enrique Beltranena: No, I just want to thank you very much everybody for releasing and I want to thank you our family of ambassadors, the board of directors, investors, the bankers and the source and suppliers for the commitment and support during another strong quarter. I look forward to addressing you all again for the next one. And thank you very much. And operator, please open the line for questions.
Operator: Thank you. This concludes the Volaris conference call today. Thank you very much for your participation and have a nice day.